Operator: Welcome to the Brookfield Homes Corporation conference call and webcast to present the company’s second quarter 2009 results to shareholders. (Operator instructions) At this time, I would like to turn the conference over to Mr. Ian Cockwell, President and Chief Executive Officer. Please go ahead sir.
Ian Cockwell: Thank you. Good afternoon ladies and gentlemen and thank you for joining us today for Brookfield Homes second quarter conference call. Before we continue, please note that in talking about our financial performance and responding to questions, we may make forward-looking statements. Forward-looking statements are subject to known and unknown risks and results may differ materially. For further information on such factors or risks, I would encourage you to see Brookfield Homes SEC filings and the full text relating to forward-looking statements in our Form 10-K and 10-Qs, which are posted on our website. We have also posted a supplementary information package on the website under the Investor Relations section, under reports and presentations. It provides details of operations and other key measures of performance. Joining me for the call today are Craig Laurie, our Chief Financial Officer and Linda Northwood, our Director of Investor Relations. I will start today's agenda and then turn the call over to Craig who will review our performance for the second quarter. Sales improved during the second quarter, with increased traffic contributing to a 12% increase in net new orders compared to the same quarter last year. A reduction in overall cancellation rates has also occurred. During July, the Company has continued to see an improvement in net new orders when compared to July 2008. We have seen an increased number of homebuyers take advantage of improved affordability, low interest rates, declining home prices, and government stimulus packages. However, the North American homebuilding industry continues to face a number of challenges, with home foreclosures continuing to have an effect on inventory and new home sales. Despite these challenging conditions, this risk is mitigated by the Company's assets, which are largely located in geographic areas with a constrained supply of lots and which have demonstrated strong economic characteristics over the long-term. Turning to our land inventory, we continue to pursue acquisitions of land opportunities in the current distressed market environment. During the second quarter, we acquired 1,400 lots in Southwest Riverside County in California for $12 million. This is in addition to the 1,800 lots we purchased in the same market area during the first quarter of this year for $17 million. We remained focused on creating long-term values for limiting the capital at risk and maintaining control over any type of land through option contracts, as well as expanding our relationships with property owners in California and the Washington D.C. area. I would now like to turn the call over to Craig, who will discuss our financial performance for the second quarter ended June 30, 2009.
Craig Laurie: Thank you, Ian, and good afternoon. For the second quarter ended June 30, 2009, our net income was $0.2 million, compared to a net loss of $9 million for the comparable period in 2008. For the three months ended June 30, 2009, the Company reported a loss of $0.12 per share after preferred share dividends, compared to a net loss of $0.33 per share for the same period in 2008. The Company recorded impairments on housing and land inventory of $4 million. This compares to impairment charges for the second quarter of 2008 on housing and land inventory and write-off of option deposits of $17 million and $10 million on investments in housing and land joint ventures. Housing revenue for the second quarter ended June 30, 2009, totaled $82 million compared to $115 million during the same period in 2008. The decrease in housing revenue during the second quarter of 2009 is primarily due to 47 fewer home closings when compared to the same period in 2008, together with the Company's selling price averaging $486,000 compared to $548,000 during the same period last year. The Company's gross margin, excluding impairments of $4 million on housing during the second quarter of 2009 was 8%, which is 4% lower than the gross margin on housing recorded in the second quarter of 2008. We recorded revenue on lot sales of $13 million compared to $5 million in the second quarter of 2008. Our land revenue may vary significantly from period-to- period, due to the timing and nature of land sales, as they generally occur on opportunistic basis and such revenues were also affected by local market conditions. Turning to our unit activity, the Company currently sells some 30 active communities compared to 33 in the second quarter of 2008. From these communities, the Company closed 169 homes for the second quarter of 2009 compared to 216 home closings during the same period in 2008. Our net new orders for the second quarter ended June 30, 2009 were 266 units, an increase of 29 units when compared to the second quarter of 2008. Cancellation rates were 12% for the second quarter compared to 20% for the first quarter of 2009. In terms of our balance sheet, our housing and land inventory, and our investments in housing and land joint ventures comprised the majority of our assets. These assets are relatively consistent for the second quarter-ended June 30, 2009 when compared to December 31, 2008. In terms of cash flow and liquidity, we generated $16 million of cash flow from operations during the quarter ended June 30, 2009. This cash flow was used to pay down project specific financing with our debt-to-total capitalization improving to 47% from 71% over the same period. With that I will turn the call back to Ian.
Ian Cockwell: Thank you, Craig. Looking forward to the remainder of 2009, Brookfield Homes Corporation continues to make significant progress in meeting its goals, specifically, strengthening the balance sheet by completing the $250 million rights offering to stockholders in the second quarter of 2009, and tightening or advancing the entitlement of option lots, which also provides visibility on future cash flows. The goal is to entitle 1,500 lots during 2009 and 2010. Affirming significant development of land until there is a meaningful reduction in current inventories. Increasing the lots controlled in certain strategic market areas, were the Company has developed a strong reputation and relationship with the community. As previously said, the Company acquired 1,800 lots during the first quarter of 2009 and 1,400 lots during the second quarter of 2009 both through foreclosure sales. With the acquisition of the aforesaid lots, the company now targets approximately $19 million of operating cash flow in 2009. Brookfield Homes Corporation plans to utilize this capital to continue to reduce its debt. During the second quarter, $16 million of operating cash flow was generated, while $53 million of project-specific debt was repaid from operating cash flow and proceeds received from the preferred stock issuance. I will now turn the call back to the operator, who will moderate questions.
Operator: (Operator instructions) Our first question today comes from Joel Locker of FBN Securities.
Joel Locker: Hi guys nice to have on orders this quarter. Just I want to say that and also on the land sales actually I see that 2 million or so in D.C. that is pretty typical of what you guys have been doing, but just the 3 million in San Diego Riverside and the 8 million corporate and other, like who were the buyers of those and you know what stage and development, I don’t see a lot number or how many lots were attached of those and just talking those in detail maybe?
Ian Cockwell: Joel it is Ian. The Riverside lots is in fact related to school sites and the – so that is the local school district. The net sales in corporate and other was in fact related to a commercial site that we had under option.
Joel Locker: Which you had under option. And who were the buyers, I mean of that commercial price?
Ian Cockwell: The school districts in the case of the school sites and the buyer was the commercial property developer.
Joel Locker: Property developer. Thanks and the $8.5 million gain in other income what would those – what did that consist off?
Craig Laurie: It is Craig, Joel. That is primarily the interest rate swap.
Joel Locker: The interest swap. Just like – I mean that happened a year ago also, I guess that is something that that kind of – is seasonally in the second quarter?
Craig Laurie: Well they are -- the interest rate swaps just depends on interest rate, so the interest rates slowly move up.
Joel Locker: That was just coincidence, that was a year-ago also and just last question and I will jump back in the queue, the improvement in July orders year-over-year can you quantify that a little bit?
Ian Cockwell: The actually percentage – we have seen that continue in the improvement as we saw in the second quarter, we have seen it continue into this quarter of 2009 – into July, I don’t know if you have specific --.
Joel Locker: Yes I just wondering if – I mean was it up a couple percent or do you have like for the first four weeks of July, last year it was 50 and this year was 55 or just something along those lines?
Craig Laurie: Yes so to your point, for the first four weeks of July last year, it is 44 and the same period this year it is 59.
Joel Locker: 59. Alright thanks, I will jump back in the queue.
Operator: (Operator instructions) We now have a follow-up question from Joel Locker again from FBN Securities.
Joel Locker: I guess I am back. Just on your gross margins, I guess those fell sequentially around 200 basis points just a housing gross margin, just was wondering how come there weren’t more impairments attached with that?
Ian Cockwell: I think it had, that gross margin had more to do with the product mix. I know it is your question, but we typically also get the question of what is your gross margin for your backlog and we would anticipate that gross margin is more along the line at 10%.
Joel Locker: 10%, but it was 8.3% on the housing there wasn’t any onetime charges or anything like that.
Ian Cockwell: Yes.
Joel Locker: And the break down between the impairments and the option write-offs, I have seen a 4.2 million and all, how much were credited to impairments, how many were option write-offs?
Craig Laurie: I believe it is all just housing and land inventory.
Joel Locker: That was all land inventory?
Craig Laurie: Housing and land, yes.
Joel Locker: Yes. And the – I guess the $3.5 million payment for the preferred was that just because there was accrued and it was relatively or two months out of the six months. So, you get a third of the 10 million as usually would be.
Ian Cockwell: That is correct. The shares were issued in April.
Joel Locker: Right, right got you and last question on the stage of the lots that you acquired, the 1,412 in the San Diego Riverside, what stage were those and where exactly were they located?
Ian Cockwell: In Southwestern Riverside?
Joel Locker: Southwest Riverside and where they, you know raw or blue top or –
Ian Cockwell: Approximately 1,900 were raw and the remaining 1,300 were improved.
Joel Locker: 1,900 raw and improved as in, you know were they had finished or were they just partially finished?
Ian Cockwell: You can say near complete.
Joel Locker: Near complete. And that is 3,200 you have given me for the first and second quarters right now, just specifically for the second quarter.
Ian Cockwell: That is exactly, that is right yes.
Joel Locker: Right and then just for the second quarter, how many were raw and how many were partially improved?
Ian Cockwell: You know approximately 900 raw and 500 partially improved.
Joel Locker: 500 partially improved. Alright thanks a lot guys.
Operator: Our next question comes from Ida Friedman [ph] of BS Capital [ph].
Ida Friedman: Hi Ian. I have a few questions for you. First, it is great to see your leverage come down as a result of both the rights offering and the cash flow you are generating. And with your debt-to-cap at 47%, currently, I'm wondering how comfortable you are at present with your balance sheet? And secondly, do you have the specific target with regards to how much further you would like to continue reducing your debt?
Ian Cockwell: We have the same way to continue. We are comfortable with our 47% net-debt-to-total capitalization and we will be reducing it further, I think that is just going to depend on the point in time as to what we are financing and what we are not financing.
Ida Friedman: I mean how do you look at or away continuing to use your cash flow to reduce debt versus using it for other opportunities whether it is acquisitions or even something more shareholder friendly like the special dividend you've issued a few years back?
Ian Cockwell: I would say, I think the industry in general is going to become a lot more capital intensive. The latest vital was special dividends or buying back shares, I don't see that within -- that number is until the stability has come back into the housing market and that is - so in that aspect -- don't anticipate that happening. And then I think more and more is the percentage of financing available to the industry is going to be more restrictive.
Ida Friedman: On another note, could you just talk about the pricing environment on what you are saying in each of your markets?
Ian Cockwell: I think if we have see in within our own sort of certain communities, stability within pricing, I think in our markets is the same, what is being shown, I think it came out yesterday the case should have report that the stabilization, so that is for the month of -- which for the month of May trend.
Ida Friedman: Sure.
Ian Cockwell: In the cross-sell markets. I think we have seen that month over month, you have got the stabilization; I am not saying it has stabilized at 1%, 2%.
Ida Friedman: It sounds like when you're talking about July sales being up nicely versus last year for orders that is, it sounds like the exploration of the California tax credit hasn't really had much of an impact on your orders, is that correct?
Ian Cockwell: I think it is very nice to have it around. It still has a federal tax credit for first-time homebuyers and that expires beginning or the end of November. So that still is out there and people are taking advantage of it.
Ida Friedman: Do you have any sense as to whether the California legislature will I guess -- there has been talk that they may expand the 100 million to a larger number, any sense?
Ian Cockwell: I was aware of that, I think through the California legislature addressing lots on that is and this is one which if it is viewed as part of the stimulus package because there is a lot of very – the first time net it was adopted, we recognized all the relative benefits surrounding the program, I think it is as you said, it is under consideration, I have no further insight at all.
Ida Friedman: Okay and just one final question, the question actually relates to your stock price and I was just curious as to whether you had any specific thoughts on this. So, I guess at present your balance sheet looks to be in pretty good shape, certainly a lot better than it was six, 12 months ago and you are getting close to, I guess operating near break-even and it seems as if you are at or close to the end of having to take impairments, at the same time you also have over 2000 fully developed lots, which you could continue to monetize and generate cash flow over the coming years, and it sounds like the tone of your earnings release was actually the most optimistic I have read in quite a few quarters or maybe cautiously optimistic, so I guess the question is, you know stock price has been trading at give or take 50% of book value, but when I look at all the other publicly traded builders you are far and away trading at the lowest multiple of book compared to anyone, in fact if you look around the builders the vast majority of them are trading at, you know over one times book value today, even the ones that are really distressed, so I am just curious you know why you think that is and just what your thoughts are?
Ian Cockwell: I think do agree that the other public home builders are trading in an around book value, but no doubt the other fact is that you quoted with regards to the – there were higher delivery entity of company prior to having done the preferred shares issuance and maybe that hasn't been fully recognized within the market, but with our -- the report released today it may become more readily and viewed and accepted within the markets.
Ida Friedman: I guess it is the first time your balance sheet has actually included the rights offering and the significantly reduced debt-to-cap ratio?
Ian Cockwell: That is correct. Alright thanks so much.
Operator: We have a follow-up question from Joel Locker of FBN Securities.
Joel Locker: Hi guys, just a couple more just on the, your – do you have an average selling price and a backlog currently or just roughly what it is?
Craig Laurie: I don't have that information, sorry.
Joel Locker: And what about a figure for just customer deposits for the backlog?
Ian Cockwell: Joel we will have both of those for the next quarter.
Joel Locker: And last one, just on the $8 million piece that you sold to the commercial developer, where was that located, was that in Hawaii or --?
Ian Cockwell: Yes it was.
Joel Locker: In Hawaii. Alright thanks a lot guys.
Operator: There are now no further questions. I will turn the conference back to Mr. Cockwell for any closing comments.
Ian Cockwell: Thank you very much as there are no further questions, I thank you all for your time this afternoon and look forward to your participation on future conference calls.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.